Operator: Good afternoon, and welcome to the Beazer Homes Earnings Conference Call for the Quarter and Fiscal Year Ended September 30, 2019. Today’s call is being recorded and a replay will be available on the Company’s website later today. In addition, PowerPoint slides intended to accompany this call are available in the Investor Relations section of the Company’s website at www.beazer.com. At this point, I will turn the call over to David Goldberg, Vice President and Treasurer.
David Goldberg: Thank you. Good afternoon and welcome to the Beazer Homes’ conference call discussing our results for the fourth quarter and full year of fiscal 2019. Before we begin, you should be aware that during this call, we will be making forward-looking statements. Such statements involve known and unknown risks, uncertainties and other factors, which are described in our SEC filings, including our Form 10-K, which may cause actual results to differ materially from our projections. Any forward-looking statement speaks only as of the date the statement is made. And we do not undertake any obligation to update or revise any forward-looking statement whether as a result of new information, future events or otherwise. New factors emerge from time-to-time and it is simply not possible to predict all such factors. Joining me today are Allan Merrill, our Chairman and Chief Executive Officer; and Bob Salomon, our Executive Vice President and Chief Financial Officer. On our call today, Allan will review highlights from fiscal 2019 and then discuss our strategy and goals for fiscal 2020. Bob will cover our fourth quarter results in greater depth, as well as our expectations for first quarter. And then, I will come back to provide more detail about our land spend and update on our balance sheet and profitability followed by a wrap-up by Allan. After our prepared remarks, we will take questions in the time remaining. I will now turn the call over to Allan.
Allan Merrill: Thanks, David, and thank you for joining us on our call this afternoon. A strong fourth quarter allowed us to finish fiscal 2019 with substantial momentum, setting us up for growth in both profitability and returns in 2020. This outcome is a testament to our team’s resilience and agility. Last year at this time, we were grappling with a very challenging new home sales market, driven by rapidly rising mortgage rates, which contributed to affordability challenges. In that environment, we increased incentives to spur home sales and allocated capital to debt reduction and share repurchases. This decisive response together with improvements in the sales environment and a successful capital markets transaction improved results in ways that will be even more meaningful in 2020. For the full-year we achieved the following: Improved new home orders, backlog and community count, which provides a solid foundation for growth as we move into 2020; improved operations from streamlining our product offering, which led to higher customer satisfaction scores, quicker construction cycle times and lower build costs; and improved allocation of capital, which enabled both investment in our business and the return of nearly $90 million to investors. These debt reductions and share repurchases structurally improved earnings per share, which will be apparent in 2020. In short, despite a tough environment at the start of the fiscal year, we ended 2019 in a better position than we began. 2020 will represent another step forward in our long-term, balanced growth strategy. As we have said before, the financial objective of our strategy is to generated double-digit return on assets by growing EBITDA faster than revenue from a more efficient and less leveraged balance sheet. While we aren’t giving full year guidance, I am happy to share our goals for 2020. First, a combination of volume and margin improvements can contribute to EBITDA growth of 10% or more; second, with a larger share of our assets now contributing to earnings, we are targeting a 10% ROA; and third, our commitment to retire more than $50 million of debt allows us to target a net debt to EBITDA ratio below five times. Achieving these goals will lead to higher earnings per share, growth in book value and further growth in our return on equity, all from a less leveraged balance sheet. With that, I’m going to turn the call over to Bob.
Bob Salomon: Thanks, Allan, and good afternoon, everyone. In the fourth quarter we built on the improvements we generated earlier in the year. New home orders increased about 12% to 1,4580 as our average community count increased and our sales pace rose to its highest fourth quarter level since 2013. Home building revenue increased 1.5% to $773 million, driven by 3% increase in our ASP. Our backlog conversion ratio was up almost 300 basis points versus the prior year as we benefited from a sizable drop in cancellations and improved cycle times. Our gross margin, excluding amortized interest impairments and abandonment was 19.9%, ahead of our expectations, driven by ongoing efforts to reduce incentives and simplify our product offering. SG&A as a percentage of total revenue was 9.5%, down 60 basis points versus the prior year. This led to adjusted EBITDA of $82.1 million in the quarter. Finally, net income from continuing operations was $2.5 million, which was impacted by $25 million pretax loss on debt extinguishment. Turning now to our expectations for the first quarter of fiscal 2020 relative to the same quarter last year. We expect orders to be up more than 10%, driven by both community count and sales pace improvements. We expect closings to be relatively flat compared to last year as we emphasize both margin improvement and to be built sales in the quarter. Our ASP should be in the mid $370,000 range, up slightly versus the prior year. Gross margin should be between 19.5% and 20% comparable to last year and our fourth quarter. This reflects our ongoing efforts to reduce incentives. In recent years, Q1 margins have been below Q4 margins by about 100 basis points, principally due to lower volume of closings in the first quarter. We expect SG&A expense to be around 13.5% of total revenue, roughly flat versus the prior year. Total interest expense should be around $20 million, comprised of both interest expense included in cost of sales and direct interest expense. We note that the total amount of interest that we amortize through cost of goods sold is a function of both our capitalized interest and our inventory turnover. Our expectation for a slight year-over-year increase in GAAP interest expense in the first quarter is driven by a faster inventory turnover, which is temporarily offsetting the reduction in our cash interest expense. Over time, we expect cash and GAAP interest expense to converge. Our income tax rate is expected to be about 26%. And finally, cash components of land spend should be around the $150 million, up significantly relative to last year. At this point, I’ll turn it over to David.
David Goldberg: Thanks, Bob. At the end of the fiscal year we owned or controlled nearly 19,000 active lots, representing the 3.4-year supply of land based on our fiscal 2019 closings. On the table on the right side of slide eight, we detail our expectations for future community openings and closeouts. In the fourth quarter, we spent $106 million on land and development, in line with our expectations. As Bob mentioned earlier, we expect higher land spending in Q1 and likely in each quarter of this year based on transactions already identified and approved. This reflects more favorable land prices relative to home prices over the last nine months and the structure of our debt, which allows us to balance growth and deleveraging. Finally, a growing component of our land spend has been allocated to roll out of Gatherings across our footprint. As of the fourth quarter we have Gatherings buildings under construction in Orlando, Dallas and Nashville. In 2019, new Gatherings land purchases were approved in Dallas, Huston, Orlando and Maryland. For the full-year, we spent approximately $470 million on land and land development and nearly $90 million on debt retirement and share buybacks. While returning capital to investors impacts community count, it created accretion to both EPS and book value per share, as well as reduce leverage with no execution risk or latency, and the benefits will be seen in higher ROE in 2020 and beyond. The objective of our balanced growth strategies to drive higher returns on our assets by improving our EBITDA without inefficiently increasing our assets. On slide 10, you can see the successes we’ve had in executing the strategy over the last few years as our EBITDA has grown significantly without any growth in our assets. And we believe we can drive additional balance sheet efficiency as we focus on buying shorter duration deals, increase in our use of options and generating cash from assets that were previously inactive. By improving our balance efficiency, we’ve been able to grow and substantially reduce debt. This deleveraging combined with our refinancing activity has allowed us to reduce the annual run rate of our cash interest expense by nearly $33 million since the end of fiscal 2014. While our success in efficiently growing EBITDA has generated an increase in ROA, this actually understates the improvement in our operations because our total assets include a large but shrinking percentage of assets not generating revenue. As these assets begin generating returns and we improve the profitability of our active assets, we anticipate further ROA improvements. We have made a great deal of progress deleveraging our balance sheet since 2009, retiring over $550 million of debt. In the fourth quarter, we retired approximately $30 million of debt, bringing our full-year total over $50 million. In addition, we retired all $500 million of our 2022 notes. This transaction was funded using 10-year senior notes and an unsecured term loan. In total, our refinancing and repurchasing activities this year will generate $15 million of annual cash interest savings. Finally, we restructured our term loan to include modest repayments over three years, supporting our goal of reducing debt below $1 billion, while growing our business. With that, let me turn the call back over to Allan for his conclusion.
Allan Merrill: Thanks, David. 2019 was a challenging, but very productive year for Beazer. We demonstrated our ability to respond to a more difficult sales environment, reallocated capital to benefit shareholders, strengthened our balance sheet and realized numerous operational improvements. Together, these efforts have positioned us to generate higher earnings and improved returns in fiscal 2020, even as we retire more debt. I want to take a minute to thank our team for their ongoing efforts. I’m confident that we have the people, the strategy and the resources to execute our plan over the coming years. And with that, I’d like to turn the call over to the operator to take us into Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Alan Ratner with Zelman & Associates. Your line is open.
Alan Ratner: Hey, guys. Good afternoon. Congrats on the progress on the balance sheet in the quarter. My question, just looking at your lot count, pretty sizable drop in lots like quarter-over-quarter down about 10% and year-over-year almost 20%. And certainly, appreciate all the comments on ROA and asset efficiency. But, if I look at slide eight on your community count, it looks like, just the way that slide is on slide eight, it looks like community count should be declining fairly significantly throughout 2020. And correct me if I’m wrong there. But, I’m just curious if you can talk a little bit about how you see your lot count right now. It’s the lowest absolute level we’ve seen in a couple of decades. So, is this the optimal level of land? And, can you continue to grow community count? I know, that’s been a focus of yours and you achieved that in ‘19. But, how do you see that playing out over the next year or two?
David Goldberg: So, Alan, this is Dave. Let’s talk about the lot count first. We mentioned in the script we have 3.4 years of land. We think that’s plenty of supply of land on a go-forward basis. And we think it’s sufficient to grow the business as we move forward. So, not really concerned on the land side. In terms of community count in FY20, look, we’re not giving full-year guidance. As you know, it’s difficult to predict quarterly trends, let alone going more quarters out. So, we don’t give that level of guidance for the full-year. We’re clearly going to benefit from the community count growth we’ve already experienced and that should drive higher sales and top line growth in the first half of the year. So, we’ll have more to discuss as we move through the year. But, it’s just too early to give full-year guidance now. And the other thing I’d mention is the level of investment that we’ve talked about for the full-year 2020 and having higher land spend quarter-to-quarter, as we kind of mentioned in the script, should certainly bode well for 2021.
Alan Ratner: Okay. I appreciate that. And then, second question on the margin. I just want to make sure I’m thinking about this correctly. So, you mentioned in the past few years, you’ve typically seen a sequential pullback in 1Q margin versus 4Q, and certainly encouraging to see that expected to hold steady this time around. Should we still expect there to be the normal seasonality throughout 2020 in terms of typically your margins would increase through the year? I don’t know how much visibility you have in your backlog beyond 1Q, but is there any reason maybe from a mix standpoint that you wouldn’t expect it to follow that typical seasonal trend like we’ve seen in the last few years?
Bob Salomon: Yes. Alan, this is Bob. We typically have about four to five months of backlog. So, it’s pretty hard to project that far out, although I’d tell you, our goal is to get into the 20% range of gross margins. And that’s really what we’re driving towards as we decrease incentives and simplify our product offering.
Operator: Our next question comes from Jay McCanless with Wedbush. Your line is open.
Jay McCanless: Hey. Good afternoon, everyone. The first question I had, one of your competitors earlier this cycle or earlier in this earnings release season called out Dorian having an impact on operations, or one of the storms having an impact on operations. Can you talk about what effect that had on the Southeast and what drove the decline in orders there?
Allan Merrill: I’ll take that. Jay, it’s Allan. There was about a 10-day time period where it was uncertain where that particular storm was going to make landfall or if it was going to at all, and it was Florida, and then it was Carolina, then it was back to Florida. And I can’t speak for what others have said or what they did. But, in advance of the storm, we closed all of our communities. We made sure all of the sites were tight and secured, so that there was no flying debris. We took care of all of our employees, and we waited it out. I can’t tell you exactly what effect that had on sales. Clearly not being open for a number of days in Orlando or Tampa and then up the coast in South Carolina had some effect, but I don’t think it was particularly significant. In terms of closings, again, there may have been a couple of sites where we didn’t make the progress during that week that we would have liked to have made. But for us, it was not an event, unlike some prior years that really called out a response that we could quantify and characterize as being material.
Jay McCanless: My second question, Bob, just thinking about with the debt you guys have refinanced and also what you paid down during the year, what in basis points, I guess, should we think about for interest amortization, either 1Q ‘20, or if you feel comfortable talking about a little bit further out to the year?
Bob Salomon: Yes. I think, Jay, we gave the $20 million of total expense for the year. So I’d say -- or I’m sorry, for the quarter. So, you can kind of figure that out. It’s in the 4% range, low 4% range, and that’s kind of where we’ve been. And then, over time, that will kind of converge on the cash. It will take -- it won’t be in ‘20, it will totally converge. But, we’ll see how that works over time.
Jay McCanless: Okay. And then, you’re thinking for other expense that’s going to -- eventually that’s going to disappear off the income statement…
David Goldberg: Yes. Jay, it’s David. It’s getting smaller and smaller. And throughout the year, based on the level of active inventory, you’ll see a little bit or not, but it will certainly diminish over time.
Jay McCanless: Okay.
David Goldberg: Yes. Jay, you could certainly take a look at slide 21, which shows the cash interest expense, which we talked about in the script about the diminishment of cash interest expense, the amount that we saved and how that compares to what’s going from a GAAP perspective. You can see we’ve crossed over this year such that our cash interest incurred is below the GAAP interest. And again, as Bob mentioned, that’s going to converge over time. But for a period of time, we’ll have more GAAP interest expense coming through the income statement than the actual interest incurred that we have in the business.
Jay McCanless: Got it. And then, my third question, it looks like you had a really high tax rate in the fourth quarter. And apologies, if you all addressed that in the script. But, I think that’s going to get back to a more normal 26% rate in the first quarter. Is that correct?
Bob Salomon: Yes, it is. It’s just some normal fourth quarter tax workings. There’s going to be a lot more detail in the 10-K, obviously. And we can talk about that offline, Jay, because it’s a little technical tax stuff that was going on in the fourth quarter.
David Goldberg: But, nothing from a 2020 perspective that will change our normal guidance. And Bob mentioned the guidance of 26% for Q1.
Jay McCanless: And then, speaking of 1Q again, it looks like demand, the 10% order growth you guys are calling for is certainly better than what we were expecting. I just wanted to talk about, I guess, meeting that demand in terms of bringing cycle times down and maybe some of the product simplification efforts I’ve seen you guys doing in the field. Could you all talk a little bit about that? And maybe how that product simplification is going to help you deliver some of these homes faster?
Allan Merrill: Sure. Jay, I’ll take that. So, the place to start, and I know you know this, but there’s a larger audience. So, humor me for just one second. The place to start is to understand that one of the most important competitive advantages we think we’ve created for ourselves is what we call Choice Plans, which is structural options embedded in every plan that we offer that are available at no additional cost. And it’s not crazy stuff, it’s sensible stuff. So, think about for example a kitchen. You might have a sink available under a window that’s looking out into a yard or that sink may alternatively be in layout of the kitchen in an island. So that’s a choice plan, it’s a selection at no cost that a customer can make, and we’re proud of it. It’s actually quite hard to do. We’ve been at it for a number of years. One of the things that we realized during the course of this year is, we still had an awful lot of other structural options, elevation variation and the level of complexity in our design center that we could streamline. So, what we’ve been working on and will continue into 2020 is the elimination of unpopular structural options, the elimination of elevations that don’t sell well. An example, shrinking basement alternatives that are available, instead of five alternative basement configurations in a basement market, there are now two. And then, really adapting, what I call, good, better, best with our cabinets or flooring or plumbing, where the customer can really pick what level of feature they want in their home. Those things are not stripping homes, they’re not defeaturing, they’re creating a more cultivated group of choices for customers to make. But, the spillover effects, it’s a lot less work for our purchasing team. It makes us a lot easier to do business with in the field from a trade perspective. So, the combination of an easier decision-making process is better for the customer. The trades like it better. And we have seen benefit from that in bidding on our jobs, it’s a direct cost benefit and it means our superintendents are able to get our homes built more quickly. So, the combination of those things has really been the thing that I was alluding to in 2019 that we’ll see more of in 2020. And it absolutely plays a role in the cycle times that have come down, and we expect further progress this year.
Jay McCanless: It’s great to hear. I guess, kind of following on that, what -- if you think about your cost inputs, labor, we’ve heard one of your larger competitors talking about labor costs moderating a little bit. I guess, if you think about your inputs now versus last year, how are you feeling about? Everybody knows land is going up, but maybe talk a little bit about labor and materials and how those are running versus last year?
David Goldberg: Yes, Jay. I think, overall, we’ve had a little bit of a benefit from lumber. And you look at random lengths, like everybody else does. There’s been some benefit on the lumber side. Generally speaking, cost pressures haven’t been that significant from a labor or material perspective outside of kind of what we’ve seen. But I would get back to Allan’s point, which is really about simplification. That’s really how you address and how we’re going to address as we move forward the direct cost side. Because a simpler product is easier to bid and frankly makes us a better partner.
Operator: Thank you. Our next question comes from Susan Maklari with Goldman Sachs. Your line is open.
Susan Maklari: My first question is just around some of the demand trends that we saw in the quarter. Given the way that rates lined up and the way that demand came together, do you think that there was any pull forward that we saw? And, how are you thinking about the implications of that as you look to the first quarter of 2020, and then maybe even to the early parts of next year?
Allan Merrill: Well, let me take the easier part of that, which is what we saw and what we’re experiencing. It’s a little harder when we get to Q2. But, I would say that the improvement in the operating environment -- the sales environment really built kind of slowly. We saw elements of it in certain communities in certain markets in February and a little bit more in March and a little bit more in April and a little bit more in May. And as that sort of progressed, it has given us confidence that what we did is we kind of reset to a more normalized level of demand after what was really a dislocation in our fiscal Q1. So, I guess, a shorter way of answering that is, it hasn’t felt like there was some kind of euphoria that has pulled forward demand as much as we’ve returned to a steadier state. And I think, our ability to kind of look into Q1 and see a double-digit rate of growth in orders, which is similar to what we were able to do in the fourth quarter is evidence of that. As we get into next year, I don’t know. But, at this point, there does not seem to be a fleeting nature to the improved demand that we’ve experienced.
Susan Maklari: Okay. That’s encouraging. So, it sounds like seasonality for your fiscal first quarter then should be pretty much in line with what normal expectations are?
Allan Merrill: Exactly, I mean, there is seasonality. We definitely sell fewer homes in October, November and December than we do in other quarters. But, it feels like a resumption of more traditional demand patterns. And of course, weather can play a role this time of year. But, in terms of the traffic we’re seeing the confidence that our team in the field has, it has continued at a pace similar to what we were experiencing through the summer.
Susan Maklari: Okay. That’s good to hear. And then, my next question is just on Gatherings. As that grows -- and it sounds like you’ve got some more communities that are -- or projects that are coming online there in fiscal 2020. How should we think about that relative to some of the goals you have in terms of margins and returns?
Allan Merrill: I think we believed in and continue to believe in Gatherings as being accretive to margin and accretive to returns. It is more capital intensive, but it sells at a better pace. And the margin profile, when we get it exactly right is pretty good. So, I don’t think there’s anything inconsistent with growing Gatherings and our balanced growth objectives.
Operator: [Operator Instructions] Our next question comes from Alex Barron with Housing Research Center. Your line is open.
Alex Barron: Yes. Hey, guys. Thanks. I was curious if you could comment on what your orders look like in October.
Allan Merrill: You know, Alex, we really don’t do monthly trends and monthly disclosures. I would simply say, we’ve had a pretty constructive October, which has put us in a position to feel good about a 10% plus growth in the quarter.
Alex Barron: Okay. I mean, a number of other peers have reported quite a bit higher than 10%. So, I would have assumed maybe you guys would be seeing something along those lines.
David Goldberg: Alex, the challenge from our perspective is, and we’ve been very consistent about this, one month is just one month. We are in a seasonally slower period of time. So, we don’t want to extrapolate entirely from 30 or 40 trading days so far this quarter. But, as I said in answer to a prior question, the resumption of demand that we saw and the stability in demand that we’ve been experiencing is fairly consistent.
Allan Merrill: Alex, the other thing I think you got to keep in mind is, and I think it’s important about Beazer, we’re sticking to products and submarkets that we know. We’re not expanding to different product categories. We’re trying to drive a lot of community count by doing something that we haven’t done before. So, I think you might see some peers that are putting up bigger numbers, certainly possible. But you got to take that with a grain of salt that there’s some different product categories, and also frankly, margins. We’re looking to rebuild -- to build back margins to get back, as Bob said, into the 20s. So, I think, if you put it all together, the more than 10% growth suggests a very healthy housing market.
Alex Barron: Yes. Allan, I’m not saying necessarily less growth is bad. In your case, if you’re using it to generate cash and pay down debt, I actually think that’s a good thing. And obviously, the margin improvement came through this quarter. So that was good. Can you comment on your order trends as far as what percentage of the orders maybe were first time buyers or entry level this quarter versus a year ago, as well as what percentage of your orders came from Gatherings versus a year ago? Just trying to understand those things.
David Goldberg: Alex, we don’t break out orders by market segment that way on a quarterly basis. What I would tell you is, we’ve been about a 55% entry level builder historically, maybe a little bit more in the years before. But it’s been pretty consistent over time. Active adults is about 20% of our business, give or take, including the Gatherings piece. And then the rest is kind of others. So that really hasn’t changed much over time. As I mentioned in my response to the question you asked before, we’ve been very consistent from a product focus. We’re not trying to be something different than what we are or do something different. It’s been a very consistent focus, and that frankly hasn’t changed.
Operator: We are showing no further questions at this time.
David Goldberg: Okay. Well, we want to thank everybody. That concludes today’s call. We want to thank everybody for dialing in. And we will talk at the end of the first quarter. Thank you very much for your participation.
Operator: Thank you. That does conclude today’s conference. Thank you again for your participation. You may disconnect at this time.